Operator: Thank you for standing by. And welcome to the Harley-Davidson 2024 Third Quarter Investor and Analyst Conference Call. Please be advised that today’s conference is being recorded. I would now like to hand the conference over to Shawn Collins. Thank you. Please go ahead.
Shawn Collins: Thank you. Good morning. This is Shawn Collins, the Director of Investor Relations at Harley-Davidson. You can access the slides supporting today’s call on the internet at the Harley-Davidson Investor Relations website. As you might expect, our comments will include forward-looking statements that are subject to risks that could cause actual results to be materially different. Those risks include, among others, matters we have noted in today’s earnings release and in our latest filings with the SEC. Joining me for this morning’s call are Harley-Davidson Chief Executive Officer, Jochen Zeitz. Also, Chief Financial Officer, Jonathan Root; and we have LiveWire’s Chief Executive Officer, Karim Donnez. With that, let me turn it over to our CEO, Jochen Zeitz. Jochen?
Jochen Zeitz: Thank you, Shawn, and good morning, everyone. Thank you for joining us for our Q3 2024 results. In Q3, we saw an increasingly difficult global market environment in our and other big-ticket discretionary sectors. Macroeconomic and political uncertainty and the pressure of high interest rates affected both our industry and customers, especially in our core markets. This impact contributed to a decline of 13% in global retail sales of new motorcycles for Q3, with North America posting a 10% decline, compared to 18% across international regions. For the U.S., through the end of Q3, Harley-Davidson retail was down 1%, which was better than the overall motorcycle industry. Overall, we continue to see greater spend from higher than lower income customers, as evidenced by motorcycle mix, where our CVO motorcycles continue to be up double-digit percentages throughout the year. In the U.S. specifically, through the end of Q3, driven by our new touring lineup, our touring segment was up almost 10% and we gained more than four percentage points of market share, outperforming the category, our other segments and the market as a whole. In EMEA, Q3 retail sales declined 23%, with mixed performance on a country-by-country basis. EMEA continued to be adversely impacted by macroeconomic conditions and geopolitical uncertainty, which has led to sluggish economic growth. From a motorcycle family perspective, touring, CVOs and trike motorcycles performed strongest in the region. In Asia-Pacific, Q3 retails were down 16%, with larger-than-expected softness in Japan, partially offset by growth in Australia and New Zealand. Lastly, in LatAm, Q3 retails were up 4%. Despite the challenging overall operating environment, given the outstanding feedback we received from our customers, media and our network, we continue to be enthusiastic about our new lineup of touring motorcycles to redesign in all new road and street lines. We believe that our highly differentiated touring offering is well-placed to set the company up for future success in years to come, in addition to our other plans in the motorcycle development lineup. Looking ahead, as Jonathan will detail, given the lower-than-expected retail demand in Q3, we are revising our full year 2024 outlook. In Q3, we continue to support the reduction of dealer inventory levels, reducing our production units as retail softens. At the end of the quarter, dealer inventory was down 13% relative to the end of Q2 of this year. We are committed to continue to reduce inventory levels and support dealer health, both in North America and in our international markets, as we prepare for our new model year launch in 2025 with a range of new exciting bikes, but by a strong marketing push in collaboration with our dealer network. Turning briefly to HDFS, with Harley-Davidson Financial Services, we believe that we have a best-in-class effort to support our dealers and our customers in both economically strong and more challenging times. With a strong performance for the quarter, driven by higher retail and commercial finance receivables, HDFS continues to be an invaluable asset for all of our stakeholders. With regards to LiveWire, as Karim will detail shortly, we continue to adjust to the overall and EV environment, increasing LiveWire’s focus on driving cost efficiencies and productivity across the business. Overall, despite the challenges facing the industry that have also impacted our business in the second half of the year-to-date, we’ve made progress towards our Hardwire II ambitions. We believe that, in addition to our new touring lineup that is by far the best product in the industry, we also have the right product in the pipeline in the coming years to drive profitable growth. We are committed to ensuring that our dealers receive that product at the right time and at the right price, in addition to providing strong marketing and sales support, which we expect to drive profitability across the company and our network. We’re working hard to set ourselves up for a solid 2025 and are positive in our ability to make sound progress in the new year. The combination of our best-in-class product and brand, coupled with a best-in-class dealer network, is a powerful pairing for success. However, we are mindful of the external factors, including interest rate reductions and improved consumer confidence, that are required to provide the industry with the needed tailwind. Both cost control and cost productivity gains, combined with tight capital allocation, are front of mind as we close out the year. We believe we have the right strategy with the Hardwire, especially compared to others in the market and that the decisions we make to invest in innovation and our core category that we know our customers and dealers love, we’re the right ones to both fuel the Harley-Davidson culture and business for years to come. Thank you and now I’ll hand over to Karim.
Karim Donnez: Thanks, Jochen. Good morning, everyone. In Q3, the market proved to be challenging for EV products with slower than anticipated adoption amidst global political and economic uncertainty. In this context, year-to-date, LiveWire retains more on-road electric motorcycles in the U.S. than any other brand in the market. Within the CC+ HD [ph] on-road EV segment, LiveWire continued its leadership position in the quarter and in 2024 with 69% of the market share year-to-date. In Q3, LiveWire had several notable exposure events, including the Del Mar being awarded Best 2024 Electric Bike by MCN in September. In addition, this August in Paris, we enjoyed a global moment for the S2 Del Mar, making LiveWire a household name. Despite retail outpacing wholesale for a third consecutive quarter, we still ended short of our expectations. As a result, we are revising our full year guidance to 600 to 1,000 motorcycle units. Operating loss guidance remains unchanged for the full year. Our focus is on right-sizing the business, given the market environment, delivering the best EV products out with a unique LiveWire look, sound and feel, and preparing for future growth as the EV market expands. Looking ahead, we expect to diligently manage expenses and significantly improve our EV motorcycle product cost, reducing cash burn by an expected 40% next year compared to 2024. Actions have already been taken this year in anticipation of 2025, with the completed centralization of our lab operations in Milwaukee and the move to Juneau Avenue. We’ve also streamlined our organization, leading to an approximately 30% headcount reduction heading into 2025 compared to the start of 2024. Recognizing that the performance of our existing product offering is directed to enthusiasts, LiveWire is also actively looking at expanding its addressable market and increasing overall access to the EV experience. To that end, I’m pleased to confirm that we are planning to announce a new product segment at EICMA in November that we believe will bring additional revenue streams to the company in the medium term while meaningfully expanding our current addressable market. Stay tuned for more. Thank you and now I’ll hand it over to Jon.
Jonathan Root: Thank you, Karim, and good morning to all. I plan to start on Page 4 of the presentation where I will briefly summarize the consolidated financial results for the third quarter of 2024. Consolidated revenue in the third quarter was down 26%, given by HDMC revenue down 32%, and partially offset by HDFS revenue growth of 10%. Consolidated operating income in the third quarter was $106 million, down 49% from the prior year period, given by a decrease of $120 million at HDMC. At HDFS, operating income was up $17 million, while the operating loss of the LiveWire segment was up by $1 million compared to a year ago. The consolidated operating margin in the third quarter was 9.2%, which compares to 13.5% in the prior year period, where HDMC operating income margin was down 720 basis points year-over-year and HDFS operating margin was improved by 410 basis points. I plan to go into further detail on each business segment’s profit and loss drivers in the next section. Third quarter earnings per share was $0.91, which is down 34% from $1.38 last year. As we flip the page to our year-to-day results, total consolidated HDI revenue of $4.5 billion was down 6% compared to last year. The components of this were, at HDMC, revenue decreased by 9%, at HDFS, revenue increased by 11%, and at LiveWire, revenue declined by 30%. Total consolidated HDI operating income was $610 million, which was $190 million lower than the prior year. The components of this were, at HDMC, operating income of $491 million was 30% lower than prior year, reflecting an operating margin of 13.3% in the year-to-day period, at HDFS, operating income of $202 million increased by 14% in the year-to-day period, and at LiveWire, an operating loss of $83 million was in line with our expectations. Year-to-date earnings per share was $4.27, down 8%, and compares to $4.65 in the same period in 2023. As Jochen said in his introductory comments, in Q3, the global consumer has seemingly taken a pause from big-ticket consumer discretionary spend based on different dynamics in each region. As Jochen mentioned, dealer inventory at the end of Q3 is down by 13% relative to the end of Q2 of this year, as we focus on reducing inventory levels in the second half of 2024, both domestically and internationally. We are prioritizing support for our dealers in their attempts to reduce their inventory for the remainder of 2024. We expect dealer inventory to be down around 20% from the end of Q3 2024 levels, so that dealers will come into 2025 with inventory at similar levels to the start of 2024. We look forward to a healthier 2025 environment where, as Jochen mentioned earlier, we are focused on improving profitability throughout the Harley-Davidson dealer network and partnering more heavily with our dealers to develop and grow our grassroots marketing activations. We continue to prioritize availability and inventory of touring, trike, softail, and CVO motorcycles. We will talk further about our expectations for both retail and wholesale motorcycles for the balance of 2024 in just a few minutes. Looking at revenue, HDMC revenue decreased by 32% in Q3. This was largely a result of the 39% decrease in wholesale units shipped in Q3, where we shipped 27.5,000 motorcycles in Q3 of 2024 versus shipping 45.3,000 motorcycles in Q3 of 2023. Focusing on the key drivers for the quarter from a revenue contribution standpoint, 32 points of decline was as a result of decreased wholesale volume at HDMC, where motorcycle shipments down 39% in the quarter were meaningfully lower than retail sales of motorcycles. 1 point of growth came from pricing, which includes the net impact of pricing actions on 2024 model year motorcycles and overall sales incentives. 1 point of decline came from mix, as we compare to the prior year introduction of all new CVO motorcycles, focus more on touring shipments in the first half of the year, and we round out the rest of the motorcycle portfolio shipments in the second half of the year. And finally, foreign exchange was largely flat in the third quarter. In Q3, HDMC gross margin was 30.1%, which compares to 31.7% in the prior year. The decrease of 160 basis points was driven by the negative impacts from lower volume and negative operating leverage. There were some positives in the quarter, including favorable net pricing, favorable foreign exchange, including hedging, and lower raw materials and supply chain management costs as we begin to accelerate our manufacturing and supply chain savings, which helps offset the rate of inflation seen during the quarter. On the operating expense side, expenses were $27 million lower relative to prior year or 11%, as we continue to maintain overall cost discipline and increase our efforts to manage OpEx productivity at HDMC. HDMC operating income was $55 million, which was $120 million lower than prior year due to the significant reduction in wholesales. HDMC operating margin came in at 6.3% in Q3 from 13.5% in the prior year. For the year-to-date period, HDMC gross margin was 31.3%, which compares to 34.2% in the prior year. The decrease of 290 basis points was driven by the negative impacts from lower volumes, negative operating leverage, moderate inflation and less favorable net pricing, which includes overall sales incentives. These impacts were partially offset by the positive impacts from favorable motorcycle mix and lower raw material costs and lower supply chain and manufacturing expenses, which I will discuss more deeply in comments regarding productivity. Lastly, in the first nine months, operating expenses were lower by $13 million or 2%, as we maintained overall cost discipline due to actions that we began to take in the late Q2 of this year. HDMC operating income was $491 million, which was $214 million lower than prior year. HDMC operating margin was 13.3% through the first nine months, compared to 17.4% in the prior year period. Before we turn to the next slide, as I did in July, let me give a brief update on our productivity cost program. One of the initiatives identified as part of the Hardwire strategy, we are expecting to drive a $400 million improvement in productivity. As a reminder, we are now excluding the impact of leverage while holding our previously communicated multiyear target of $400 million. Excluding the impact of leverage, we delivered approximately $24 million in 2022 and $123 million in 2023. In 2024, we have delivered $84 million through Q3 of this year. Turning to Slide 10 now and the Financial Services segment. At Harley-Davidson Financial Services, Q3 revenue increased by $26 million or 10%, driven by higher retail and commercial finance receivables, as well as higher average yields as the portfolio continues to reset over time with changes in Fed-based interest rates, which is currently driving higher interest income. HDFS operating income was $77 million, up $17 million or up 29% compared to last year. The Q3 increase was driven by higher interest income and lower provision for credit losses, which were partially offset by increased borrowing costs, while operating expenses were largely flat. Total interest expense was up $10 million, or up 12% versus the prior year. The increase was driven by a higher cost of funds as lower interest rate debt matured and was replaced with current market rate debt. In Q3, HDFS’ annualized retail credit loss ratio was 3.1%, which compares to an annualized retail credit loss ratio of 2.7% in Q3 of 2023. The increase in credit losses was driven by several factors relating to the current macroeconomic environment and the related customer and industry dynamics. In addition, the retail allowance for credit losses for the third quarter came in at 5.5%, virtually flat compared to 5.4% at both prior year end and Q2 of 2024. This reflects our best estimate of the current and future retail lending environment. Total retail loan originations in Q3 were down 11%, while commercial financing activities were up 18%, to $1.2 billion. Total quarter end net financing receivables, including both retail loans and commercial financing was $7.8 billion, which was up 2% versus prior year. Turning to Slide 11 and to year-to-date results at HDFS, revenue increased by $74 million or 11%. HDFS operating income was $202 million, up $25 million or up 14% compared to last year. The year-to-date increase was driven by higher interest income, which more than offset higher borrowing costs, higher provision for credit losses and higher operating expenses. For the LiveWire segment, electric motorcycles revenue increased in the third quarter of 2024, compared to the prior year period, due to higher unit sales of EV motorcycles in the quarter. At STACYC, the Electric Balance Bike business, revenue was down compared to the prior year, which we expected due to a reduction in third-party branded distributor volumes. Selling administrative and engineering expenses were down $2 million or down 6% in Q3 compared to prior year. LiveWire operating loss of $26 million, $1 million more than a year ago, was in line with our expectations as LiveWire continued to invest in new motorcycle models and also actioned initiatives to reduce the overall cost of sales for EV motorcycles. For the year-to-date results of the LiveWire segment, revenue was $16 million, down 30% from the prior year, as a result of revenue at STACYC. For the year-to-date period, LiveWire sold 374 electric motorcycles, which is a triple-digit increase over the prior year period. For the period, LiveWire operating loss was $83 million, which was in line with our expectations. Wrapping up with consolidated Harley-Davidson, Inc. financial results, we delivered $931 million of operating cash flow in the first nine months of 2024, which was up from $707 million in the same period last year. The increase in operating cash flow was influenced by positive changes in working capital as we focus on tight inventory management, as well as a change in wholesale finance receivables. Total cash and cash equivalents ended at $2.2 billion, which was $366 million higher than at end of Q3 prior year. This consolidated cash number includes $88 million at LiveWire. Additionally, as part of our capital allocation strategy, and in line with our commitment to return capital to our shareholders, in Q3, we bought back 4 million shares of our stock at a cost of $150 million. This brings our total amount of shares bought back in the nine months of 2024 to 9.5 million shares of Harley-Davidson common stock at a total value of $350 million, which is 7% of shares outstanding at the beginning of 2024. This compares to 6.1 million shares at a cost of $226 million in the first nine months of 2023. Given the lower than expected retail demand we experienced in the first nine months of the year, which we expect to continue into Q4, we are revising our full year 2024 outlook. At HDMC, we continue to expect that retail units sold and wholesale unit shipments will be broadly balanced by the end of 2024, and we now expect retail and wholesale to be in the range of 149,000 to 153,000 units, which is a change from 163,000 to 168,000 units at Q2 earnings. We expect retail to be in the range of down 6% to 8% for the full year, which is a change from flat to up 3% for the full year, and we expect wholesale shipments to be in the range of down 16% to 17% for the full year, which is a change from down 7% to 10% for the full year. These lower revised topline inputs result in a change to our full year HDMC revenue and HDMC operating income targets. We now expect revenue to be down in the range of 14% to 16% for the full year, which is a change from down 5% to 9% for the full year at Q2 earnings. We now expect operating income margin to come in between 7.5% and 8.5% for the full year, which is a change from 10.6% to 11.6% range for the full year that we had previously guided to. The downward revision is due to production and wholesale reductions and the resulting impact of leverage. We believe these reductions position the company more appropriately for 2025. At HDFS, guidance for the full year of 2024 is revised upward, where we now expect operating income to be up 5% to 10% for the full year, which is a change from flat to up 5% for the full year at Q2 earnings. At LiveWire, guidance for full year 2024 is revised. We now expect to deliver between 600 and 1,000 electric motorcycle units, while operating loss in the range of $105 million to $115 million is unchanged. And we continue to expect capital investment in the range of $225 million to $250 million, which is unchanged. As a reminder, our capital allocation priorities remain to fund profitable growth of the Hardwire initiative, which includes the capital expenditures, paying dividends and continuing to execute discretionary share repurchases as outlined in the previous quarter. We feel this highlights our operating discipline, overall cash flow generation and long-term earnings power, and is supported by our continued commitment to deliver a 15% HDMC operating income margin by the end of 2025. And with that, we will open it up to Q&A.
Operator: Thank you. [Operator Instructions] Thank you. Your first question comes from Craig Kennison with Baird. Please go ahead.
Craig Kennison: Hey. Good morning. Thanks for taking my question. Jochen, I’m wondering if you could share any themes that may have come up through your recent dealer conversations and what your message is to dealers. It feels like that has changed a little bit.
Jochen Zeitz: Yes. Thanks, Craig. Obviously, and understandably, dealer profitability is front of mind. And as you’ve seen this week, it’s a tough time for the industry as much as it is for any discretionary business, whether you are in the marine business, RV business or motorcycles. We held, as you mentioned, our annual dealer forum in October and it was a really good barometer and opportunity to engage with our dealers, obviously, to the many interactions that we have throughout the year with our leadership team. And at the forum, we presented the way in which we as a motor company are going to support the network in 2025, and I think the outcome is probably what dealers came away feeling good about what is in store for us collectively in 2025, and overwhelmingly rated the outcomes and the success of the forum with almost 75% rating. It is very good to exceptional. That’s a good indication of a network, even the very difficult environment that we’re in with dealer profitability, obviously, at a level that we don’t want to see going forward. So the measures we put, a new product lineup for next year, and in particular, the co-marketing investments that we’re going to make in addition to other internal measures that we put in the forum will go up next year in strong force. As I mentioned earlier, there’s a lot of strength in a single brand network and we are proud to have the best network in the industry and we want to make sure it continues to be the most profitable network as well, and we’re working hard. And that said, I would say other networks are probably more challenged than our network, but I’ll say that, we will certainly continue to work very hard as a dealer network in terms of profitability.
Operator: Our next question comes from Megan Alexander with Morgan Stanley.
Megan Alexander: Hi. Good morning. Thanks for taking our question. I wanted to ask a couple of questions, if that’s okay, on retail. The down 13% in 3Q, obviously, I think, there was some well-telegraphed noise, particularly perhaps in August. I think you talked about maybe July off to an okay start last quarter. So first, can you just talk about maybe the trend of retail over the third quarter, how you exited the third quarter and then how that informed your outlook for 4Q? Obviously, a wide range for the fourth quarter seems to be implied, but looks relatively similar, I guess, to what you reported in 3Q. So maybe you can just kind of help us understand the puts and takes around that?
Jochen Zeitz: Sure, Megan. So Q3 started out with a strong July and we ended weaker than expected, especially in late September, which we think is pretty much in line with what we’ve heard from most powersports competitors and industries as a whole, and not just the U.S., but across the globe. So we believe and we assume that the greater macro and geopolitical uncertainty expected with changes in interest rates, especially in North America and EMEA, as well as the upcoming U.S. elections, some weather events in the U.S. [Technical Difficulty]
Operator: Our next question comes from James Hardiman with Citi.
James Hardiman: Hey. Good morning. Thanks for taking my question. So, it sounds like the general outlook here for 2024 assumes retail in line with wholesale. I guess in light of the retail weakness, why do you think that’s still the right target at this point? And I guess the bigger question is, as we think about 2025, what’s your level of confidence that you won’t have to destock even more as we look to next year?
Jonathan Root: Sure. Hi, James. This is Jonathan. Happy to start out and take this one. So I think as -- it sounds like your questions are really primarily around dealer inventory, how that relates to retail. So I think a good question in there. Dealer inventory at the end of Q3 is down by about 13% relative to the end of Q2. We will continue to focus on continuing to reduce dealer inventory levels in the final quarter of 2024. So as we look at that, the question that obviously you probably ask is, where will you be? Well, we aim to be down about another 20% from today’s levels, which gets us to about the same levels as the end of last year. Certainly from our standpoint, we continue to prioritize availability inventory of touring, trike, softail and CVO motorcycles. We look at our core categories and we know that our core categories are key to the Hardwire strategy. They’re key to the share growth that we’ve seen within the industry. So we want to make sure that our dealers are appropriately positioned to keep that going. And then, again, as you referenced, you do have our commitment that we really are, by the end of the year, ensuring that we’re doing all that we can to get retail and wholesale to move in alignment, which is something that we’ve talked about since the beginning of the year as part of our 2024 guidance. So I hope that helps.
James Hardiman: Well, I don’t know if I have time for a -- I don’t know follow-up here, but I guess, my question is, why is that the right level, right? Flat inventories for a year in which retail is going to be down mid-single digits. Normally, in that sort of environment, we would assume that inventories would need to come down even further, right, versus at the start of the year to keep those inventory turns flat. And so does this create an incremental potential overhang as we think about reductions for next year?
Jonathan Root: James, I don’t know if you can hear me better. I seem to have had some issues with the line here. We don’t think so and we believe that we would be, although we have seen a weaker third quarter, we believe that the adjustments we are making this year and the shipments that we are planning in the four quarters of next year will address that in the right way. So we feel confident that this is the right thing to do and pretty significant adjustment throughout the year.
James Hardiman: Got it. Thank you.
Operator: Our next question comes from Joseph Altobello with Raymond James.
Joseph Altobello: Thanks. Hey. Good morning. Just to follow up on James’s question. So if I have my math right, you ended 2023 with 49,000 bikes in the channel and you were anticipating retail this year of 163,000 to 178,000 bikes. Now you’re saying you’re going to end this year at 49,000 bikes in the channel flat year-over-year. And I can’t imagine you’re anticipating that same retail level next year. So how do we square those two numbers?
Jochen Zeitz: All right. Thanks, Joe. So, as -- we probably don’t want to get too much into 2025 at this point. So I don’t think we certainly feel like this probably isn’t the right time to be giving full 2025 guidance on where we’re going. But overall, as we think about what we’ve laid out and where we’re going, we obviously expect that we’re going to be in the range of 150,000 to 153,000 retail units and the same from an overall wholesale unit perspective. So moving those to an alignment. And we think positioning our dealers pretty well for where we’re ending the year and then where we’re beginning Q1 of 2025. And again, we don’t want to get too far into 2025, but as we do move into that period, you probably will see some adjustments in terms of the way that we end up distributing throughout the quarters in 2025 that we’ll make sure that we are covering in more detail with next quarter’s earnings.
Joseph Altobello: Okay. That’s helpful. Maybe just a follow-up. You mentioned the cadence of retail in the quarter. Any pickup in October post the Fed’s rate cut temporarily?
Jonathan Root: Yeah. Well, as we said previously, we are going to be prudent and as an overall practice, I’m not going to comment on the running quarter in that case on October retail until we release Q3 and we will continue with this practice in the future. Just coming back to your inventory question, I think what you should bear in mind is that the big change in touring obviously is not going to happen again. We have fantastic touring bikes in the market and we will carry them over into the new year. So bear that in mind in terms of the inventory that we’re carrying over rather than having an old platform that gets carried into the new year. We have the new platform carrying into the new year. So the quality of the touring inventory is a lot better than it was previous year. So as a qualifying factor as well to bear in mind.
Joseph Altobello: Okay. Super. Thank you.
Operator: Our next question comes from Robin Farley with UBS.
Robin Farley: Great. Thanks. I guess I had similar question about slapping your inventory level and I don’t know what you can tell us about your expectations for things turning around for next year retail. Maybe I’ll throw in a second question just in case there’s nothing more to add to that first one. It sits on the LiveWire business. Obviously, it’s a challenging environment for electric vehicle sales broadly. I guess just thinking about your commitment to that business long-term, is there a point at which if it doesn’t meet your expectations for another year, when we think about your sort of multiyear plan, a point at which you would reevaluate, how long it might take to be profitable there and kind of how long you’d be willing to have those additional losses. I guess just trying to get a sense of, if you didn’t hit these targets, are you fine with sort of similar losses to this year and for how long? Just thinking about it like that. Thank you.
Jochen Zeitz: Yeah. Thanks, Robin. I think in terms of 2025 expectations, there’s not much more I can add other than reemphasize that we’re really working very hard to set ourselves up for a solid 2025 and we are positive in our ability to make sound progress in the new year. Now, call that cautiously optimistic. We think that the combination of our best-in-class products and best-in-class dealer network are a true powerful pairing for success. But of course, we have to be mindful that external factors, including interest rate reductions and improved consumer confidence are required to provide the industry with a needed tailwind -- a tailwind that we’ve not had for a couple of years now. So, our focus in addition, of course, is to continue our cost control measures, our cost productivity gains. Jonathan highlighted them and we expect to achieve our goal of productivity gains in total of $400 million combined with a tight capital allocation and we continue to believe that we have the right strategy, especially compared to others in the market. And that the decisions we’ve made early on in 2020 and 2021 to invest in innovation and in our core categories that we know our customers, our dealers favor have been the right decisions. So, I think that’s as much color as I can give for 2025. In terms of LiveWire, I think we have taken or LiveWire has taken under Karim’s leadership significant actions and has reduced our cash burn significantly going into next year. He mentioned that we are taking the cash burn down by 40% next year. The operating costs are coming down. We are working -- the team is working very hard to improve margin and manufacturing costs so that we can get to a much lower number of units that need to be sold in order to achieve a breakeven or positive gross profit margin. So, the actions have been taken and Karim, if you want to repeat them, please do. But we do believe at this point in time, given what we know, that it is important to continue to invest, but very prudently for sure, in comparison to when we started this venture and the EV adoption was a very different one, certainly in auto and also in other spaces. We believe that it is important to position us and LiveWire as the leader in electrification of the sport to ensure that Harley-Davidson, at the appropriate time, has access to this technology, whenever that might be. But of course, we take one year at a time and see how business develops. For now, these are the actions that we are taking.
Robin Farley: Okay. Great. Thank you.
Operator: Our next question comes from Fred Wightman with Wolfe Research.
Fred Wightman: Hey, guys. Good morning. Jonathan, I think you made a comment to sort of reaffirming that 15% operating margin target for 2025. I’m wondering if you could just help us think about the big sort of building blocks from this year’s operating margin performance. I know that there’s a lot of deleverage from the lower volumes, but if you could just sort of help us think about the chunky pieces to get to that mid-teens target, that’d be helpful? Thanks.
Jonathan Root: Okay. Sounds good. And good morning, Fred. So, I think good question around 15% OI margin. We’ve talked about that by the end of 2025. So, think sort of full year 2026. We are pretty pleased with the actions that we’re taking and the way that we’re managing things inside of the four walls of Harley and how that really drives some improvement. This year certainly is unusual in terms of how much we’re taking down shipments in the second half of the year. We also have some, you know, I think we’ve talked about this a little bit, probably more this year than we ever thought that we would in terms of some of the differences between production and wholesale. And so, as we move forward into 2025 and 2026, we begin to line up the relationship between production, wholesale, and retail. So, with that, you obviously see some of the benefits that we enjoy from a leverage standpoint. So, there’s a pretty meaningful impact from that standpoint. Cost productivity for us is something that we feel really drives a pretty significant amount of improvement. So, you obviously have our commitment to $400 million of cost productivity, and as you may recall from earlier in this year, we actually removed leverage from that calculation. So, that’s like a real $400 million, not something that’s dependent upon units. So, you stack those two in order to see improvement. And then, in addition, as we have portfolio changes and product changes and tweaks, there are some things that we think we can do pretty surgically from a pricing standpoint. So, that helps. And then, the other piece that I would just touch on is, you know, we have pretty strong operating discipline around OpEx and you actually see that really show up in this quarter. So, with some of the actions that we took last quarter, that you end up kind of hitting the P&L in a positive way within this quarter. You see OpEx down $27 million, for example, in Q3. So, down 11% due to the actions that we took. So, I think if you look across the P&L, there are a number of contributing factors that give us confidence in that 15% OI margin target.
Fred Wightman: Okay. Thanks. And then, there were a couple mentions about dealer support. I’m just talking about the cut to shipments helping dealers out or is there actually a different mechanism for that?
Jochen Zeitz: Well, there are many measures that we have taken to set our dealers up for a successful 2025. And I -- in my speech, I mentioned the market -- significant marketing investment as a marketing development fund that would benefit the dealers on the ground as they execute in 2025. And there are many other initiatives that we have presented to our network, including retail targets for next year that are achievable from our perspective, adjustments to how we digitally drive more traffic and leads to our network, how we see the evolution of our fuel facility upgrades evolving over the next couple of years. So, there was a number of activities that are not just based around inventory reduction, which, of course, is critical as well, especially going into next year. We feel that with rates coming down and all the other activities that we’ve announced, the dealer network should be able to see a strong improvement in overall profitability in 2025. In addition, of course, to the product that we’ve launched at the same time as well.
Fred Wightman: Great. Thanks.
Operator: Our next question comes from Alex Perry with Bank of America.
Alex Perry: Hi. Thanks for taking my questions here. I just wanted to ask how we should be thinking about HDMC gross margins in the fourth quarter. Will you be leveraging promos to work down dealer inventory? And then a little bit of the follow-up from the last quarter, any help on sort of how we should be thinking about gross margins for next year, especially given some of the production shifts that you’ve announced and taking some increased costs out of the business? Thanks.
Jochen Zeitz: Let me start briefly on promos. Right now, we are offering select promotional support, mainly, however, in the way of interest rate assistance in a manner that we believe is in line with the market. In our core markets, however, we are less promotional than our competition, where our promo -- competitors are offering promotions that are more aggressive. But that said, we want to make sure that we achieve our retail targets for the fourth quarter. And Jonathan can highlight some of the promos we’re having in market right now.
Jonathan Root: Yeah. Okay. Thanks, Jochen, and good morning, Alex. So I think for my -- Alex, as you think about Q4, a couple of pieces. As you asked the question around margin and what does margin look like in Q4, we have a pretty sizable reduction in the wholesale shipments. So obviously, we’ve provided you with where we think retail and wholesale are going to range and you can see from that that it’s a pretty sizable cut in shipments. So Q4 margin will certainly be quite challenged. As we go through and we take a look at answering the question around promos, as we go through and we take a look at promos, what we have seen is that from a consumer perspective, we feel like our consumers are more responsive to rate promo than anything else. A number of our competitors have rate promos and cash out there. We’ve been pretty thoughtful in terms of really being focused in on primarily rate promos, particularly if you look at what we have from a current model year standpoint. So we’ll continue with some form of that, perhaps, as we look at the balance of the year to make sure that we are, again, supporting our dealers at retail. We feel like it’s critical to ensure that we’re giving them campaigns that allow them to drive consumer traffic, help close sales and kind of deliver something that’s fair to our consumers and good for our dealers. And so I think you’ll see a continuation of much of what we’ve been doing.
Alex Perry: Perfect. Very helpful. Best of luck going forward.
Operator: Our next question comes from Noah Zatzkin with KeyBanc.
Noah Zatzkin: Hi. Thanks for taking my question. I guess first, just on LiveWire, not to put too fine a point on it, but I think you made the comment that you’re kind of working to stem cash burn by 40% next year. Is it fair to assume that that translates directly to operating expenses, meaning just trying to figure out if there’s a potential for $40 million to $50 million less loss from LiveWire next year?
Jonathan Root: Sure. So I can start, and then Karim can jump in. So I think Karim is very, very focused on how he’s managing the LiveWire business pretty tightly. There’s a little bit of a difference between what you see from a cash perspective and where you end up seeing their operating income, as obviously there’s depreciation and some compensation-related elements that flow into that side of the equation. Karim, I’ll hand it over to you for the -- to paint a little color on some of that. But I think, Noah, the critical thing is that cash burn represents one part of their P&L. In addition, they do have some depreciation that they work through, as well as some compensation-related elements. But with that, Karim?
Karim Donnez: Yeah. Thanks, Noah. So, as Jonathan explained, yes, the cash burn obviously has a direct impact in the operating loss performance from next year. So we do expect a significant reduction in operating loss as well next year. Having said this, we’ve taken most of the actions already to be set up for a significant reduction next year. We’ve relocated entirely the lab from California to Milwaukee. We don’t have anything left in California at this point, which obviously was a fairly expensive place to operate from. And we’ve reduced our overall workforce by 30% compared to the beginning of the year. Everything is done now. We’ve streamlined our organization in a way that we still keep a key focus on innovation and make sure that we can continue working on introducing products that are fit for market. One of them will be announced in 10 days at EICMA, and again, we believe that those products will significantly expand the horizons for LiveWire. So we recognize the tough EV environment we’re under right now, but it is not true for all segments. And if you look at different types of EV segments, there are actually pockets of a good, good traction in the EV market, especially in Europe. So more to come on this one. But the overall LiveWire business right now is already set up for 2025 to have a very significant reduction in cash burden operating loss compared to the 2024 performance.
Noah Zatzkin: Thank you. If I could just squeeze maybe one more in on HDFS. I guess first, how you feel about the health of the book and then, obviously, nice performance this quarter. How are you thinking about kind of the interplay between expected recuts and the ability to drive growth there next year? Thanks.
Jonathan Root: Great question, Noah. So we’ll start with this year and then move into a quick question on next year. So as we look at what we’re seeing from a 2024 perspective, consumer certainly is a little bit stressed. The HDFS team is doing a wonderful job of managing losses, managing the consumer and ensuring that they stay sort of on track, which I think you see with a fairly limited change in our reserve, and we were virtually flat in reserve versus prior quarter and prior year. So the outlook, I think, from a consumer health standpoint is pretty good. That’s what allows us to increase our outlook in H -- on the HDFS business for the year. As we move into 2025, as we’ve talked about, we’re probably not ready to guide in detail on 2025 yet. But we are in an interesting place where I think we’ll probably see -- we’re actually working through budget and things of that nature, so speaking a little bit off the cuff. But we’re in a place where I think we will end up seeing a little bit of the debt portfolio resetting before we have an equivalent reset in the retail portfolio. So things have moved in a really nice direction for 2024. I think we get a little bit of a challenging 2025 in front of us before we move forward into subsequent years. But more to come on that front. But I don’t expect that 2025 for HDFS will look as strong as 2024.
Noah Zatzkin: Thank you.
Operator: Our next question comes from David MacGregor with Longbow Research.
David MacGregor: Yes. Good morning. Thanks for taking the questions. I guess a pretty disruptive quarter from a weather standpoint, what do you think that did to your retail numbers? Is there any way to parse out how much that down 13% might have been attributable to just disruptive weather? And then secondly, I would just love to get your sense and I realize it’s still a little bit early to be talking about 2025, but how are you thinking about motor company market share in 2025? Thanks.
Jochen Zeitz: David, weather has certainly led to a tougher retail environment, especially towards the end of September. That’s when also Helene hit on the East Coast and we saw some impact -- significant impact towards the end with dealers then having to close their dealership to prepare and not being able to open immediately thereafter. So that certainly has been an impact in the U.S., not so much internationally, but certainly in the U.S.
David MacGregor: And then the market share in 2025?
Jochen Zeitz: Well, we’re not going to really comment much more on 2025 at this point in time. We feel we have a strong product lineup for next year in touring to continue. Our CVO segment, as I mentioned earlier, has been doing particularly strong. We’ve seen double-digit growth throughout the quarters in our strong CVO touring offering, including a CVO that we’ve offered in the adventure touring market. We have a good lineup for next year, but beyond that, I think we’ll have to wait until February before we can give some indication. We certainly believe that we are well-positioned to defend market share, maybe gain in some segments, but we shall see. And of course, that’s also impacted by the overall environment. As you’ve seen, we’ve taken market share in touring and have been most quarters up and outperformed the industry significantly in that segment, which is a great indication of innovation as part of our Hardwire strategy, really having a positive effect, even in tough times. So we continue to be confident that other innovations that we have in the pipeline for 2025 will have a similar positive effect going forward, in addition to additional actions that we are taking together with our dealer network to make sure that they are ready for it and we generate leads and traffic to the dealer network.
David MacGregor: Got it. Thanks very much.
Operator: Our next question comes from Tristan Thomas Martin with BMO Capital Markets.
Tristan Thomas Martin: Hey. Good morning. I have a question about your broader product portfolio. As you pointed out, you got a lot of success with the update to touring. I was just wondering, given some of the headwinds for big-ticket items, just kind of general consumer affordability concerns, is there any thoughts maybe revisiting some more affordable bikes? Thanks.
Jochen Zeitz: Could you repeat the revisit what? I’m sorry?
Tristan Thomas Martin: More affordable bikes. So things maybe under 10 grand, for example.
Jochen Zeitz: Yeah. We’re not going to talk about pricing of our entry level product next year, but rest assured we are addressing that in particular with our RevMax products going into 2025. But with that said, we need to wait until the new year, until the prices are out.
Tristan Thomas Martin: Thank you.
Operator: Our final question comes from Jaime Katz with Morningstar.
Jaime Katz: Hi. Thank you for taking my questions. Good morning. I’m hoping you can clarify your market share comments. I believe you had said that you gained 4% market share. But when you look on Slide 6 in your deck, it looks like both year-over-year and sequentially the market share in total touring Cruiser has not increased 4%. So what exactly have you gained market share in?
Jochen Zeitz: Well, we’ve gained market share primarily in the touring segment, which was the primary focus of our new product lineup this year. Throughout every quarter, we’ve outperformed the industry significantly in terms of market share. The overall -- and then if you look at the overall business, our retail sales were down less than the overall industry. So even in the big context, in the overall context, we’ve improved market share slightly. So that -- but that then considers all the segments. But from a touring perspective, in every quarter, we’ve been doing better -- significantly better than the market in touring.
Jaime Katz: Yes. I understand that. On the slides, it doesn’t indicate that. It just indicates 73% market share…
Jochen Zeitz: That’s right.
Jaime Katz: … this quarter and 73% last quarter. The other question…
Jochen Zeitz: Yeah.
Jaime Katz: … I have is on reassessing the structural operating profile of the business. It’s been quite a while since there’s been a big change, but it’s clear that the level of shipments is significantly different than maybe it would have been a decade ago. So what sort of trigger would you look for to think about whether or not your -- maybe your capacity or labor utilization or manufacturing footprint should really be re-evaluated on a much higher level? Thanks.
Jochen Zeitz: Well, rest assured that we are looking at that constantly and as we’re in the process of putting our budget together, this is a key consideration, of course, which is why we’ve emphasized so much that OpEx and cost productivity are a key driver. And we’re going to make sure that we are basing those operations on a conservative outlook going forward. So that will be the case. We have made adjustments to our OpEx base already over the last 18 months and we will continue to do so with an anticipated market environment that has certainly been challenged this year, no question about it. That said, I think what we have in our plans for next year is realistic, conservative and that makes us be confident, as Jonathan highlighted, that with the cost productivity measures that we are taking and a tight OpEx structure going into next year, we will see the improvement that we want to see in order to achieve our Hardwire stage two goals in terms of operating market.
Jaime Katz: Thank you.
Jonathan Root: Yeah. And Jaime, I would just add that, obviously, we remain very, very committed to delivering the $400 million in cost productivity and that certainly doesn’t come without a great deal of work on the side of things relative to ensuring that we have everything optimized from a manufacturing perspective. So, we appreciate the relationship that we have with our unions. We think that they have displayed, you know, a level of flexibility and support that we certainly are appreciative of and I think together, we’ve partnered to drive something that we feel is very sustainable in the future. And again, you have our strong commitment to delivering the $400 million that we’ve been talking about.
Jaime Katz: Thanks for the color.
Operator: There are no further questions at this time. This concludes today’s conference call. Thank you all for joining. You may now disconnect.